Operator: Good morning, and welcome to the MGM Resorts International Second Quarter 2017 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Bill Hornbuckle, President; Corey Sanders, Chief Operating Officer; and Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are in a listen-only mode. After today's remarks, there will be a question-and-answer session. Please note this conference is being recorded. I'd now like to turn the conference over to Mr. Dan D'Arrigo.
Daniel J. D'Arrigo - MGM Resorts International: Well, thank you, Steven. And good morning and welcome to the MGM Resorts second quarter 2017 earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially for those contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation of GAAP financial measures in the press release, which is also available on our website. Please also note that our supplemental earnings deck is posted on our website, which we hope you will continue to find helpful. And with that, I'll turn the call over to Jim.
James Joseph Murren - MGM Resorts International: Well, thank you, Dan, and good morning, everyone. We're quite proud of the results we've reported this morning, and I think it's a tribute to what we've discussed many times before in terms of our focus on margin, profitability and the very hard work of the men and women that have brought incredible operational efficiencies to this organization. As you know, our cash flows rose in the quarter, and on a hold-adjusted basis, EBITDA would have been up 10%. We've guided you, when we talked about the second quarter, to lower gaming revenue, higher non-gaming revenue, and margins that would be up slightly. We met that guidance and in fact, did better than we expected in terms of profitability and margin as a result of our initiatives. Our margins grew 82 basis points to just over 31% and that was despite the fact that we were down almost 5 percentage points year-over-year in table games hold. On a hold-adjusted basis, as I said cash flows would have been up about 10%, and our margins would have been up over 200 basis points on The Strip alone. CityCenter had another outstanding quarter. Its revenues and cash flows grew 10% and 36% respectively, and our focus on margin has driven our operational efficiencies in every single department in which this company operates. We have achieved this despite the fact that we're investing in the future. As you know, we're dramatically transforming MGM's Monte Carlo property into Park MGM, that's been disruptive and will remain so throughout this year, and despite that, we're very comfortable where we see the Street in terms of earnings for the year. Regionally, our properties continued to do dramatically outperform their competitors. MGM Detroit had an all-time record in terms of revenue and EBITDA. National Harbor is already the market leader in Maryland and of course Borgata continues to perform at an outstanding rate, and that is a tribute to Tom Ballance, retiring today from Borgata and moving into corporate, and the rest of the great team at Borgata. Obviously, the results in Macau as a market have been impressive, we are anxiously awaiting the opening of Cotai that will help us dramatically. That resort opens in a couple of months. Grant will talk more about it. But suffice to say that it would help not only drive more business to our MGM property on the Peninsula, but we believe it will be very dynamic and it's very successful in Cotai. We've had a very strong year this year in Las Vegas, both in the first and in the second quarter. We just had another record at McCarran Airport in June, and the company has focused on maximizing the opportunities that are in front of us. And that means maximizing the revenue per occupied room in all of our resorts. That is the reason why our margins were up more than we expected. It's also the reason why RevPAR was below what our guidance was, as we consciously moved some occupancy away from higher ADR, but lower revenue per total occupied room into different channels, which resulted as you can see in higher profitability and higher margin, we expect that going forward. We see a very good third quarter underway. We have many challenges in the quarter because of a huge citywide convention quarter last year, and we held very well as we indicated in the third quarter of 2016, but despite that because we have an epic fight coming up in a couple of weeks and because we have good business on the books, we expect to see profitability increase again and margins also increase again. We believe that going forward, that the second half of the year will remain strong and that we will continue to be able to improve our profitability and margins, and in fact we are raising our margin guidance from what we have said earlier because we see more opportunities to increase margin going forward, already the industry-leading margin and certainly here in Las Vegas. This could be the second biggest fight of all time and it will certainly drive millions of people to watch Las Vegas, watch T-Mobile, and watch Mayweather and McGregor. We intend to maximize every $0.01 of profitability opportunity there and we're working very hard to accomplish that. I think we will be very successful. We've a lot to look forward to in the second half of the year, not only the opening of Cotai in the fourth quarter but the improvements that we're taking to all of our operations, which we see as accelerating our margin. We're running this company for cash flow and if that has not been clear in the past, certainly was in this quarter and we will continue to do so going forward because we believe that's the best way to drive value to our shareholders and we intend to continue to be competitive in the marketplace when we find opportunities on the horizon and I think the opportunity currently on the horizon is Japan where I would say that we are one of the leaders in terms of contenders in that marketplace. I have to say that I'm proud of what we've done. But I believe that our best days are ahead of us and what we see today is more confidence in our business than we've seen in the last ten years. So with that, I'd like to turn it over to the operator, so we get to your questions.
Operator: Thank you. We will now begin the question-and-answer session. And our first question comes from Joe Greff with JPMorgan. Please go ahead.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody.
Daniel J. D'Arrigo - MGM Resorts International: Hey, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Jim, Dan, as you can imagine, we're getting a lot of calls and e-mails on your RevPAR commentary and change from a quarter ago. Can you talk about the 100 basis points of revision? How much of that relates, Jim, to what you talked about in terms of a focus on lowering occupancy, how much of it might relate to more disruption at Monte Carlo? Can you talk about how much of it relates to just maybe greater price elasticity for the consumer in Las Vegas? What led you to revise downwardly your RevPAR guidance?
James Joseph Murren - MGM Resorts International: Sure Joe, it's almost exclusively business decisions that we're making here. It does not reflect at all the health of the market and certainly does not reflect our perspective of the market in the second half of the year. When we started PGP, we were focused on many of the non-hotel areas where we could drive margin profitability, not only in terms of table games margins and overall casino margins, but in our non-gaming areas in terms of driving margin there. The hotel divisions of many of these resorts including ours have been run more independently and have been focused on driving RevPAR. We know that that's not the right approach in a casino hotel environment. That's not how you drive profitability. No one here in this room that I'm aware of is bonused on RevPAR. We're bonused on profits. We made a decision when we moved from PGP to continuous improvement to dig in more on our hotel yielding and do it more holistically. We actually started that in the beginning of the year. It had a minimal impact on the first quarter, because we had such a strong convention calendar in the first quarter. It had more of an impact in terms of RevPAR in the second quarter, but we drove more profitability throughout the resorts in the second quarter. That's why revenue per occupied room in the second quarter was actually up over 5%. That's the important metric. In terms of looking forward, we feel very strongly, and we know this business pretty well, the way to drive increased margin and increased profitability is the yield total resort from a standpoint of driving revenue into the resort, and that will have a dampening impact on RevPAR, and that's okay because we're trying to drive more profits. The only macro point I would say in the quarter was a little bit of a weakness, a little bit of softness in the early part of June. It was literally like a two-week period of time, and it bounced back right at the end of the month. But really that had minimal impact, and also we probably underestimated the impact of the disruption at Monte Carlo a little bit, but these are just fringe things, it's not the overall point. I think the overall point is, on RevPAR as we're talking about it, a 1% difference in RevPAR. So in other words, instead of if we did 2.2% instead of 1.2% for our portfolio. A 1% delta is only $2 million of profit. A 1% increase in our margin just on The Strip is $14 million. We made a decision which we'll continue to make to focus on profitability and margin, and that really was the total story in terms of RevPAR in the second quarter, and the reason why we want people to be more focused on this in the third and fourth quarters. We're going to have a good third quarter, very strong despite the big city-wides that we saw last year and a 10% increase in RevPAR that we had last year. And we're going to have that because of a Mayweather-McGregor fight, a GGG-Canelo fight and some good convention business. But more importantly, I think we're going to be able to drive margins in the third quarter more than we had predicted when we began the year.
Joseph R. Greff - JPMorgan Securities LLC: Great, helpful. And then just a quick question on Macau in the 2Q. Margins there were a bit lower, say, versus the last four quarters. Was there anything one-time there other than mix that drove that margin performance?
James Joseph Murren - MGM Resorts International: Grant, could you tackle that?
Grant R. Bowie - MGM China Holdings Limited: Sure, thanks. The answer is there is some mix changes we've seen, particularly in some of the premium end of the business, so we've seen some margins slightly depressed, but overall we're starting to see growth in the mid business range, though some of this is as Jim was indicating, is preparing ourselves for the business for Cotai coming on strength. So yes there was some reduction in margin and that was also a little bit of affected from luck effect in the premium end. But by and large it's just part of the process of transforming and getting ready for Cotai. The last comment I'd make about that is that we're seeing some constraints in terms of room inventory and as Jim indicated getting Cotai onstream for us is really important in terms of building our capacity and our ability to drive more volume.
Joseph R. Greff - JPMorgan Securities LLC: Thank you, guys.
James Joseph Murren - MGM Resorts International: Thank you.
Grant R. Bowie - MGM China Holdings Limited: Thanks Joe.
Operator: Our next question comes from Felicia Hendrix with Barclays. Please go ahead.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thanks. Good morning. So just to stick on the quarter RevPAR for a second, I just think it would be helpful if we could just bridge from say maybe the midpoint of your guidance to the actual results. So, I hear what you are saying, you have like there are certain headwinds on RevPAR in the quarter, but then you said that they had minimal impact. So maybe if you could adjust for the disruption, the greater than disruption at Monte Carlo, maybe where would have RevPAR come in? I'm just having a hard time still understanding where the miss came from?
James Joseph Murren - MGM Resorts International: Sure. So just adjust just for Monte Carlo, RevPAR would have been 1.8%.
Felicia Hendrix - Barclays Capital, Inc.: Okay. And then, is there anything else in there like should we think about maybe an increase in resort fees that offset that or?
James Joseph Murren - MGM Resorts International: No. No, we had predicted what we have in terms of resort fees in that number and in our prior guidance. Really the difference is Monte Carlo being a little tougher than we thought and a very short period of time in June. But I really want to emphasize the fact that we're moving away in Micah's team and our hotel yield team away from focusing on maximizing RevPAR. We've all known about this, both the sell-side, the buy-side, us at management, that that's not really the best way of running our business. But we didn't have the tools frankly, Felicia, earlier in our process until this year in terms of analytics, in terms of intelligence to yield these resorts in a more holistic way. And that's a manifestation of continuous improvement. We have people doing this now that we didn't have before, hired from other companies. And it will have a impact on total revenue per occupied room in a very positive way, we think.
Felicia Hendrix - Barclays Capital, Inc.: Great. That's helpful. And then just, if I may step back for a minute and ask you a big picture question, because I think that there is an emerging kind of narrative coming out of this earnings season among some investors about the economy maybe perhaps slowing a bit. Certainly leisure is doing well, but on the business side, we've kind of seen in lodging and maybe some of the specifics that are coming out of Vegas, seeing some muted results. I mean, the June just came out today and the gaming results were better than we had expected, but again, this narrative is emerging. So when you look at your business which is a really nice mix of leisure and business, I'm wondering if, are you seeing any yellow flags at all from the consumer. What are your group meeting planners telling you? Is there any kind of comments you might want to make on what you're seeing economically right now?
James Joseph Murren - MGM Resorts International: On the business side, Felicia, we see convention partners changing somewhat their convention practices. For example, some of the larger companies are consolidating some conventions. They might have five in a given year of a certain size and they're consolidating them down to three or four. That has some kind of volatility around some of the convention markets around the United States, and I think, a little bit to a lesser extent here in Las Vegas, but we've seen that trend occurring. The reality to that is they're actually driving a lot more delegates per convention obviously, as they consolidate the number of conventions. So, we see bigger spikes in convention attendance rather than what we had seen before. As an example, we literally last week just finished Microsoft. They were in here, it was amazing for better part of a week. That's a convention as you know, we didn't have last July, and it was highly successful for us. So, I think the only – and I'll turn it over to others if they see anything differently, but the only thing we see a little bit differently is how companies are handling their convention business. Every other segment – and by the way, we're still going to be up in conventions, and we're still doing extremely well. And Las Vegas, I think is the beneficiary of this, because we're a better value destination. Every other segment is up: leisure for us, will drive you more people for our own channels, which is more profitable to us, our FIT business, the casino was very strong, and that's why total revenue per occupied room was up nicely in the quarter.
Grant R. Bowie - MGM China Holdings Limited: Yeah, I would add Felicia, that what we're seeing in the customers, and especially because of our intentional shift out of some of our lower end areas, and into our higher end areas is that their spend is up, and we're seeing that in entertainment, we're seeing that in food and beverage, we're seeing it across the portfolio slots. So, we don't really sense that the economy is suffering.
Felicia Hendrix - Barclays Capital, Inc.: That's really helpful. Thank you. Dan, a quick housekeeping. Were there any bad debt provision benefits in the quarter in either Las Vegas or Macau?
Daniel J. D'Arrigo - MGM Resorts International: I'll let Grant speak to Macau. As far as here in Las Vegas, we had a slight benefit of about $4 million in the quarter on a year-over-year basis.
Felicia Hendrix - Barclays Capital, Inc.: And Grant, at Macau.
Grant R. Bowie - MGM China Holdings Limited: And for Macau really nothing significant, less than a $1 million.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thank you so much.
Operator: And our next question comes from Harry Curtis with Nomura Instinet. Please go ahead.
Harry Curtis - Nomura Instinet: Hey, good morning. I wanted to catch Grant while he is still awake. I wondered how you plan to position the Cotai property? It is competitive. How will it be different from your experience on the Peninsula and what are your views on the competitive advantages that the building has?
Grant R. Bowie - MGM China Holdings Limited: Thanks, Harry. I'm wide awake. I think what's important is, while we might be last to open, we also have the advantage of watching everybody else come on board. And I think we've been clear right from the outset that we understand that the Cotai market is very different from the Macau market. But we also accept that we have certain characteristics. But we are strong there in terms of particularly the mass business. We also need to develop Cotai, the VIP business over time. In terms of the property itself, the thing that's most important for us is capacity. We keep on saying this over and over again. Getting more rooms, getting more capacity in that marketplace. One of the things we're focused on most importantly as it's not just a question of being able to expand based on our current pool of customers. We understand that we need to tap into new customers to us who may already be in Cotai and I'm not saying specifically share shift, but about allocation of wallet. And so, we're very focused on bringing in additional resources, people with specific experience in the Cotai market, and also making sure we build strong relationships with the tour and travel marketplace in China about moving premium leisure travel market specifically. So I guess, the critical point for us is not only maintaining intensity in the Macau property, getting increased capacity, but understanding that we need to spend and we are spending a lot of time building the volume of traffic and the pool of customers for us for Cotai. We're very excited about the physical attributes. I think everyone acknowledges that the building design is iconic and we're very excited as we progressively release to the market the facilities that we're bringing in. We're nearly finished launching all the food and beverage, and now we're starting to introduce the customer buys for the entertainment products, the nature of the interactive spaces that we're creating, which allows the consumers to basically build a lot of their own experiences, that will become more visible as we actually launch more of the products as we work our way up to the opening. We anticipate, just one point of interest, we'll start our roadshows into China for the leisure markets and for the tour and travel business in September, so that's really a progressive development and build that over time. We understand and we appreciate that our properties will take time to ramp-up and that we need to make sure that we maintain our cost control that we don't get too carried away, that we don't over staff ourselves on early days, but can build capacity and build volume before we – that we avoid too many overheads. Sorry, that's a bit long, but I hope that covers what you're interested to hear, Harry.
Harry Curtis - Nomura Instinet: It did. I did have just two quick follow ups. The first is, there has been – I've gotten a couple of questions on whether or not you will entertain the idea of a partial opening?
Grant R. Bowie - MGM China Holdings Limited: We obviously want to hype as much as we possibly can and if everything was up to our standard and we thought that we could drive sufficient volumes to support it, we would open everything, but we're pragmatic. Our target is to get everything as far as we can. We've previously announced that The Mansion product would be delayed, but in terms of all of our other facilities, we're hoping to be able to make the decision operationally whether we're comfortable to get to support everything. At this moment, room inventory, the rooms are looking pretty good, we're punching all those things through. So, we would like to have as much online as we possibly can, but openings are always challenging, We're pragmatic enough to know that we just work to what we know we are able to present the best image of our brand and our product on day one.
Harry Curtis - Nomura Instinet: And last question is, can you narrow for us the projected timing of the opening?
Grant R. Bowie - MGM China Holdings Limited: I think Jim was pretty clear that that within the next two or three months, we certainly will be opening, we're aiming for that. Construction is going well. Our manning is going well. And we all understand, however, that we do have to follow the regulatory procedures laid out by the government and at the end of the day once that's all been completed, then we'll get our permits to operate. But we're all pretty comfortable. We're ready to go as soon as we can get that permitting in place.
Harry Curtis - Nomura Instinet: Okay, very good. Thanks, guys.
Operator: And our next question comes from Shaun Kelley with Bank of America. Please go ahead.
Shaun C. Kelley - Bank of America Merrill Lynch: Hey. Good morning, everyone. Jim, maybe to build on the whole kind of discussion around RevPAR and some of the tweaks in mix, so just wondering if you or someone can elaborate a little bit more on sort of a little bit more specifically, what exactly are you doing in terms of these tweaks? Is it more channel-related, meaning sort of optimization of OTA versus direct book versus other things, and cutting down on customer acquisition costs or is it more comp and cash mix? And maybe just elaborating on any of the tools that you are using to make some of those changes? That'd be really helpful.
James Joseph Murren - MGM Resorts International: Sure. I'll turn it over to Corey for that.
Corey I. Sanders - MGM Resorts International: Sure. Shaun, as part of our continuous improvement, one of the things we've really focused on is identifying our channels and then, really doing an in-depth study on the profitability of those channels. All of our channels and our partners are very important to us. But there are certain channels that are actually making a lot less profit, sometimes, anywhere from 20% to 50% less than other channels. So, it's been more of a channel switch than anything else. On the casino side, we continue to use our M life database and the regional database. But what we've been able to see is, we have been able to for the first time in a while actually shift some of that lower-end channel into our own transient database. So, that's something that, I think, when we looked at it going into the year and when we made that decision, we felt the demand for Las Vegas was really solid and if there was a time to do it, with the dynamics, this was the right time to do it.
Shaun C. Kelley - Bank of America Merrill Lynch: And Corey, is there a software or tools or – we know there are some optimization things you're using and rolled out across the enterprise, what phase are we in on that that's kind of – any color there?
Corey I. Sanders - MGM Resorts International: We're at the beginning stage, and when I say that I'm pretty critical of ourselves. I think there is a lot more opportunities to maximize with tools and tap artificial intelligence, and things like that. So, I'm pretty excited about what the future has to bring in this area.
James Joseph Murren - MGM Resorts International: Yeah, I'd just add to that part, Corey. Obviously, we are well aware of the CRM softwares that are out there, salesforce.com being one that Caesars is using, and other companies have different techniques. We have our own CRM. It's going to evolve and one of the things that has been a benefit of the Borgata acquisition has been – they've had a very strong CRM process in place at Borgata. And we're taking that learning, and Tom Ballance, who is now in corporate with us, is leading the team with Anton Nikodemus and a variety of our best leaders here, including Marcus Glover, who is going to be running Borgata to make it a company-wide decision on improving analytics, and artificial intelligences and CRM. But that's exactly what Corey is referring to by changing the channels on the non-gaming side this year, and being able to do more process, marketing on the gaming side. We've been able to increase our revenue per occupied room, which is why you see a really good slot handle, and you see good table volume, it would have been more evident if we had just held normally, but even with lower hold, it benefited us.
Shaun C. Kelley - Bank of America Merrill Lynch: Thanks very much.
Operator: And our next question comes from Stephen Grambling with Goldman Sachs. Please go ahead.
Stephen Grambling - Goldman Sachs & Co. LLC: Hey, good morning. Maybe on the capital allocation front, what is the latest progress in pursuing some of the various asset sales that you've alluded to in the past, whether it's non-core like CityCenter, National Harbor, and where does MGP fit in?
James Joseph Murren - MGM Resorts International: So thank you. It's a good way to kind of step back and look at what we're trying to accomplish here. One is obviously to drive free cash flow and I will get into that more. But certainly, we're accelerating our free cash flow generation in our operations this year versus last and we think next year significantly more. But adding to free cash flow comes the other levers that we have. One of the major levers that we have is MGP. We were really clear when we brought MGP public a couple Aprils ago that National Harbor which has a ROFO, it would be an asset that we would like to transact with, with MGP. We also said that we'd like to have a few quarters under National Harbor's belt before we entered into those negotiations. Well, we have a few quarters under our belt right now, so I would think that it would be logical to assume that a transaction would be more in the near term than the long term between MGM and MGP. That, if done properly, and we expect it would if we do it, would have a profoundly positive impact on MGM Resorts in terms of its liquidity and its cash and squarely fits with the overall arching belief that we need to return cash to our shareholders. MGP is out on the prowl on a variety of other transactions, some of which will not involve MGM, but others very likely could. And recall that we're opening up Springfield, Massachusetts, next year, I think in September or August and that obviously is a candidate for MGP as well. The other lever that we have is clearly through asset sales. There has been a significant level of interest on The Strip right now. There is really strong chatter around the Fontainebleau being sold with a hotel flag that will be put on it. We're not involved, to be clear. But that would be a good sign for the market, if people are willing to invest a lot of money to try to bring that property to life. And we own assets as well. We own Circus Circus. We own the Mandarin at CityCenter and several other assets that we always look to find out what we should do in terms of our best interests. In terms of other levers that we have, clearly CityCenter itself with another record quarter is generating a significant amount of cash. We will continue to return that cash to its shareholders, Infinity World and MGM. And of course, once we open up in Cotai, MGM China should turn into a significant free cash flow generator beginning next year. So, the levers that we have in front of us that we're constantly trying to maximize are number one, free cash because our CapEx is going to roll over and be very minimal going forward; two, asset sales or other ways of monetizing assets; three, dividends from our ventures.
Stephen Grambling - Goldman Sachs & Co. LLC: So, that's all. I'll help I guess as a follow-up, do you think about allocating cash proceeds from asset sales differently than operational cash flow, and more broadly, do your priorities change as that cash flow inflects? Maybe any type of development projects that you can see out there that we should be thinking about.
James Joseph Murren - MGM Resorts International: That's a good question that hasn't been asked of us before. But yes, I feel like if there is – I got to talk to our board about this – but if there is a significant one-time event that would generate a tremendous amount of cash to MGM Resorts, that would impact our decision making versus free cash flow that is steadily and rapidly growing. And yes, we've been very clear on capital allocation and shareholder returns. We started with dividends, quarterly dividends. We expect that we'll be able to increase our quarterly dividend over time. But that share repurchase also will be part of our discussion at the board level. And if we have a significant windfall, which I think we will, one or two of them, over the next couple years, we'd be more immediate in our transferring that windfall to shareholders than rapidly growing free cash flow.
Stephen Grambling - Goldman Sachs & Co. LLC: Great. Thanks. Good luck in the back half.
James Joseph Murren - MGM Resorts International: Thank you.
Operator: Our next question comes from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, everyone, good morning. Corey, if I could, just you spoke a lot about kind of the continuous improvement and the mix that you're trying to kind of utilize to drive that improved profitability using more of those improved channels. If you could just kind of maybe silo stuff for us in terms of what the mix is today, be it with group, convention, leisure, transient, casino, et cetera, and kind of what the optimal for profitability based on what you guys have identified would be as we go forward?
Corey I. Sanders - MGM Resorts International: Yeah, Carlo, I don't think we've really gone into mix that much. Obviously, the convention is our base, and we build off of that. The we use some of the other channels to also help build the base and yield from there. The goal would be really to, if we could keep shifting a few percent into the transient probably from the leisure base, that would be where we could gain the most profitability. And I think we're starting to see that happen probably for the first time since probably before the recession that we've been able to actually make that change happen.
James Joseph Murren - MGM Resorts International: Yeah, and I think maybe, I don't want to cut you off, Dan, but I think that that's exactly right. Because our convention mix is growing and becoming more profitable to us and because we see a strong convention calendar in 2018 and 2019, and because we're expanding our convention facilities right now at Aria and at MGM, and you weave that together with the expansion already at Mandalay that sets up a much stronger foundation for us to look at the rest of our rooms. From the rest of our rooms' perspective, we're becoming more intelligent about how we can shift leisure into transient. And that requires software that we're deploying. It requires a different philosophy which we're also deploying, but it also is as a result of the fact that we're more confident in our overall occupancies than before. And that's I guess the point that should be always made is that all of us out here, our competitors and ourselves, run these resorts at mid 90s occupancy. That's why RevPARs is so misleading. It's not about occupying the buildings. It's about occupying the buildings in a way that will generate the most profit to the resorts, not just to the hotel department of the resorts. The combination of this and the loyalty CRM marketing that's going to have an impact – increasing impact on the casino side is going to provide a revenue and profit growth that we did not anticipate when we started this about a year ago.
Corey I. Sanders - MGM Resorts International: And the one area where we have given pretty good direction is the convention side. We are around that 19%. With the additional space, if we now grew an extra 1%, it would really help on yielding the base. But I think that's about where we want to be in that area.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Of course. Thank you, guys. That's helpful. And then, Jim, you mentioned earlier some commentary around Fontainebleau. It sounds like something is closer obviously with that asset. Just from your experience and what you guys know about kind of the asset, it's current state, how long do you imagine it would take for someone to come in and get that asset viable and kind of up and running?
James Joseph Murren - MGM Resorts International: I guess three years, 2.5 half years is the earliest, but I would say three years. And I guess the point I'd make. I love this town. We don't have as many rumors in Las Vegas as Macau, but we do hold our own that it would be more hotel centric than anything else. And obviously, up near a expanding and upgraded convention center, that would be very positive for the town and positive for Northern properties like Mirage and Circus Circus, of course. And I think that knowing what we know about our own portfolio, the level of interest we're getting on assets that are not already owned by MGP is very high. And we're a transactional company, and so I do expect that there will be opportunities, like we did with Crystals opportunistically to sell that asset at very attractive cap rate, I think there'll be other opportunities to monetize without changing the overall trajectory of what we're trying to accomplish here.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks, everyone.
Operator: Our next question comes from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey, good morning. Just in terms of the gaming environment in Vegas, in the first quarter I think table volumes dropped 2%, slot volumes were flat this quarter. Table drop is down 3.5% and slot volumes are up 3.5%. So can you just talk about how the general environment is for gaming volumes? Thanks.
Daniel J. D'Arrigo - MGM Resorts International: Sure. Do you want to start, Corey, or do you want me to go?
Unknown Speaker: Thomas, actually if you kind of look at our entire enterprise, including Aria, our table game volumes were actually flattish to slightly up so.
Corey I. Sanders - MGM Resorts International: Yeah. I think we're really happy where our volumes are coming off really a monster quarter the year before. When we look at our business, our international business is actually up, led by Far East, which is up very nicely, little bit offset by Latin, but most of our premium play comes from the Far East. The national side was up against a very tough comparison. So that would be down a little bit, but we're expecting to recover a lot of that because we expect to see many of those players that we know weren't here for the second quarter, we expect to see them in about a month.
James Joseph Murren - MGM Resorts International: Yeah, I mean that's obviously yes. One, I think we should start talking about Aria as part of our family more. I mean people look at Aria is like a separate than the rest of our portfolio. But we run Aria as we run any other property in terms of moving a business around and having customers make their decision. So that I think Cathy's point is a good one. But we anticipated a tough comp. That's why we had said in the second quarter that our gaming revenue is like going to down. We didn't anticipate 500 basis-point decrease in hold year-over-year. But we're going to have a tremendous amount of gaming volume coming in, in August. If people don't understand the impact on fights and this is not just a fight but a spectacle, just kind of watch TV. We've had a lot of people that said we're coming in August that did not come in June or July. They're coming in August and that will help. So I think that our feeling about gaming volumes here in town in terms of our own and our competitors is quite solid, particularly on the Far East side. And the standpoint of looking at what drivers that are events, and to have two fights in one quarter is something we've never had before. So we're hopeful that that has a gaming impact that we could be proud of. I think it will.
Thomas G. Allen - Morgan Stanley & Co. LLC: That's helpful. Thank you. And just as a follow-up, now that we're in the second half of 2017, can you just talk a little bit about how you're thinking about 2018 on the Strip? Thank you.
James Joseph Murren - MGM Resorts International: Sure. I'll start and then anyone can jump in. One is our convention business looks like it will be at least as good, if it not better, in '18 versus '17. That's the base that I was referring to, and it's the manifestation of some conventions that I was alluding to before that have shifted from '17 into '18 as some of the big companies have consolidated some of their convention business. That's going to actually help us in '18. That's the first point. Second point is we'll have the benefit of the expansions of our conference facilities at Aria and emerging at MGM. That certainly helps captures much of the incremental business as we can. Thirdly, we're converting Monte Carlo, which has been at our lower end of our RevPAR, our ADR spectrum into Park MGM and NoMad, which will be at the upper end of our ADR spectrum in our portfolio. That will have a very, I think, nice impact not only on that resort but the neighborhood and we own the neighborhood. And so driving higher ADRs in New York, New York, driving better mix throughout that campus will be effective. The third, I would not ignore the fact that we're having our first professional sports team start in a couple months. The Golden Knights will be playing later this year throughout early '18, which sets up for very strong sports calendars that we expect to have in '18 and beyond, increasing sporting events to Las Vegas, whether it's more college, and/or more pros will have a big impact on the market. And we should do better than most on that. The airlines are – they're talking positively about '18 in terms of coming into McCarran, and the convention center itself, the Las Vegas Convention Center is also talking about a better year. So those are some of the macros that I know. I don't if you have any others?
Corey I. Sanders - MGM Resorts International: Yes. Just a few maybe offsets are ConAgra won't be in ...
James Joseph Murren - MGM Resorts International: Good point. Good point.
Corey I. Sanders - MGM Resorts International: ...there is a shift of CES about a week, which we'll have a little bit of an impact because usually it's right after New Year's. But in general, we have strategies to attack both of those situations.
James Joseph Murren - MGM Resorts International: That was a good point, Corey. Anything else, Dan, on that?
Daniel J. D'Arrigo - MGM Resorts International: No, I'm afraid not.
Thomas G. Allen - Morgan Stanley & Co. LLC: Just on the margin front, are we still feeling good about the margin, Dan?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, I mean, we're actually – to be clear, we had said, what was our prior guidance?
James Joseph Murren - MGM Resorts International: 50 basis points to 100 basis points.
Daniel J. D'Arrigo - MGM Resorts International: 50 basis points to 100 basis points, that's 25 basis points higher now. We feel like we know and you've seen it in the current quarter or currently reported quarter, our margins are ahead of pace. I think they will remain ahead of pace. And remember, in Las Vegas, I said it earlier, but every 1% increase in margin in Las Vegas is $14 million of profit. So we expect margins to continue to grow and to be up again in '18, and our target is to get into the mid 30s in terms of margin, and obviously we think we're well on our way there.
Corey I. Sanders - MGM Resorts International: And remember that margin growth is on top of the disruption we're experiencing at Monte Carlo. So we're fighting through that and still growing margins.
James Joseph Murren - MGM Resorts International: And I think we always will, Dan. I mean I think the point that we've made to folks is that when you own 42,000 hotel rooms here and you're driving this business for cash flow and to try to increase revenues going forward, you're going to, within the CapEx contours that we've stated, which we would reaffirm, we're able to reposition properties within a couple year period of time as we straddle years in terms of CapEx to dramatically increase profitability. It does have an impact in the near term at the property itself, like it is at Monte Carlo, but we have the benefit of having 10 resorts out here. And so we feel like we can drive revenue, margin growth, profitability even when one property is undergoing this type of transformation. And it won't be the last one we do. If we are successful in converting Monte Carlo to Park MGM as we expect and get the kind of returns on investment that are going to be outsized relative to other investments that we can make, we'll look at another property to tackle in the out years. And so I think that's part of portfolio management in terms of trying to drive revenue, profitability, and long-term growth while you are focusing on free cash.
Thomas G. Allen - Morgan Stanley & Co. LLC: That's helpful. Thank you.
Operator: Our next question comes from Robin Farley with UBS. Please go ahead.
Robin M. Farley - UBS Securities LLC: Great. I wanted to ask just thinking about convention mix and things. And there was a comment that maybe Dan had made about like 19% mix, that maybe that's sort of kind of where you want to be. So is the idea that you are not necessarily going to grow convention mix next year? And I'm just wondering if you have an idea of how many conventions Las Vegas maybe sort of borrowed from the Moscone Convention Center in San Francisco this year since that's like fully closed in Q3 and partially closed for the full year? Just that there's a benefit this year, but maybe they move back when that reopens next year. And then just also to clarify your comments about the distribution channel shift, is it just sort of comping more rooms to gaming customers? Because you mentioned shifting some percentage into transient from leisure, but that I would think would actually raise RevPAR. So I'm trying to think about what channel shift would make RevPAR, would dampen it, to use your words. And is that just sort of comping more rooms to the casino channel? So thanks.
James Joseph Murren - MGM Resorts International: Sure. There are a bunch in there. We can all jump in in different ones. One is, we usually don't borrow conventions, we steal and keep them. And I think it unlikely that we'll lose anything back to the Moscone Center. In fact, we haven't so far. So, we'll see. But once people get here and they see the value proposition, and they see the delegation attendance up 20%, 30% versus the other host city, they tend to only, generally do not leave, but we'll see. The 19% reflects the fact CON/AGG is not here next year, so actually that we would say would be a very good outcome for our company and it's not the ceiling to it, it's just what our projection is at this point in time because of what we see on the books and the fact, we're expanding our convention facilities. You want to take the RevPAR one Corey or Dan?
Corey I. Sanders - MGM Resorts International: Sure, so in the second quarter, our convention mix was actually down a little bit, and so that at a higher rate compared to the business that replaced it would have an impact on rate. We were actually down a little bit in casino room nights for the quarter. That was also purposely done. We once again in maximizing profitability, we took the lower end of that database and we changed the way we reinvest in them, but that would be the color of why the rate would have been down a little bit from that perspective.
James Joseph Murren - MGM Resorts International: And so the ADR, I mean, the RevPAR connection between RevPAR, what Robin was asking and profitability, you want to explain that? I mean, it's the margin on the incremental non-gaming room is higher because of our channel shift.
Corey I. Sanders - MGM Resorts International: Sure. Even the gaming room plus the shift alone has probably got anywhere from a 25% to 50% profitability improvement by shifting out of those lower profitability channels. So, that's why I think you start seeing the increase in margin. That rate probably didn't replace the convention rate that we lost for the quarter.
James Joseph Murren - MGM Resorts International: Okay. And also these customers, not only gaming, but these customers spend a lot more money in entertainment, whether it's in our nightlife or food and beverage, our shows in general. They're becoming more sports oriented which is a focus of ours, event driven, park theater, so it's not only improving the gaming side without having – our comp levels haven't changed by the way, Robin, on that point, but it's improving our non-gaming non-hotel revenue
Daniel J. D'Arrigo - MGM Resorts International: And it's also Robin being disciplined in the approach, right, because as Jim mentioned earlier, those two weeks in June two years ago, we may have reacted differently based on the information we had at hand. So, instead of chasing that non-profitable business in that softer two-week period, we stuck to our guns and as you saw in our ADRs, they were all up across The Strip except for Monte Carlo, and didn't go chase kind of that lower end business in that short time period, which is really in those lower end channels that to Corey's point, is where you find that really not profitable piece of business.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you.
Operator: Our next question comes from David Katz with Telsey Group. Please go ahead.
David Brian Katz - Telsey Advisory Group LLC: Hi, good morning, all. It's not my actual question, but I am curious whether if a fight only last 45 seconds, do people gamble more or less?
James Joseph Murren - MGM Resorts International: It depends on who won.
David Brian Katz - Telsey Advisory Group LLC: Everyone. I really wanted to ask about Borgata, and I want to make sure that I'm not missing something in that $101 million EBITDA number. As I recall the best year that that property had historically was a little over $200 million. The margin seems fairly high. Is there something in that $101 million that we should be backing out and what can we reasonably expect out of that property going forward?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, David, this is Dan. The quarter, Borgata benefited from a one-time property tax settlement. It was about $36 million. So, excluding that number, it was about $65 million of true operating profit from the core business. So, that is a one-time item in the quarter. You're right, Borgata I think at its peak did about $250 million-ish plus or minus in terms of overall EBITDA when it was part of the joint venture. But the team there has done an extraordinary job, both in the marketplace and working with our corporate team in integrating Borgata. As you saw in the release, in mid-June, we just brought them online and M life, which I think is going to be a big positive for both of them and the M life program. So we continue to expect some big things out of Borgata and that property going forward.
Corey I. Sanders - MGM Resorts International: And what I would add, David, the other thing we did when we came in is we took our profit growth plan initiatives and applied a lot of those to Borgata and we have seen some benefit from those also.
David Brian Katz - Telsey Advisory Group LLC: Care to call it early innings?
Corey I. Sanders - MGM Resorts International: I'd say that's fair.
David Brian Katz - Telsey Advisory Group LLC: Okay. Good enough. Thank you very much.
Corey I. Sanders - MGM Resorts International: Thank you, David.
Unknown Speaker: We'll take the last question. Thank you.
Operator: And our next question comes from Chad Beynon with Macquarie, please go ahead.
Chad Beynon - Macquarie Capital (USA), Inc.: Hi. Great. Thanks for taking my question. Just one from me on Macau, so either for Grant or anyone in Las Vegas. How should we think about the table application process as we near the opening of COTAI. I think we've learned a lot over the last year that the government wants something new and diversification of offerings which you guys are offering in the product, but how do you think about that and if you don't get your request, how should we think about some table shifts? Thank you.
James Joseph Murren - MGM Resorts International: I'll start, maybe Grant, if in case Grant is asleep. We have not made our...
Grant R. Bowie - MGM China Holdings Limited: Oh, I'm not sleep. Go ahead.
James Joseph Murren - MGM Resorts International: All right. I knew it. Okay. We've not made our submission yet in terms of tables. That is something you do towards the end of the process. We have focused a lot and you can see it on in our investor deck on the nongaming components to COTAI, which we believe are transformational in that market. It's very unique, particularly on the entertainment side, which we are noted for. All that plays into the government's decision around table allocations and we're going to do the best we can on that and based on what we get, Grant will decide how to move tables around.
Chad Beynon - Macquarie Capital (USA), Inc.: Okay. Great. Thanks very much, Jim.
James Joseph Murren - MGM Resorts International: Okay. You're welcome. So I just like to wrap up and say thank you for joining us. I'm proud of the effort in the second quarter in terms of executing on our plan. We're excited about the current quarter, having the second biggest fight of all time, it's a kind of fun. I'm excited about how in shape Mayweather is, I saw him in his gym a couple of nights ago, and I'm excited about what we have happening in the second half of the year. We're very clear on our direction here at the company in terms of maximizing our free cash flow, our capital expenditures are defined and declining and are unchanged from what we discussed with our community several times. We believe that results in significant growth in free cash and we intend to return that free cash to our shareholders. We have multiple levers ahead of us and some of them are imminent and that will enhance the overall return on capital to our shareholders as it relates to transactions that we talked about today. National Harbor couldn't be doing better from our perspective and is perfectly positioned to ultimately be owned by MGP. CityCenter is performing at an outstanding level, and also, is well-positioned to return more capital to its owners and perhaps provide more asset opportunities in terms of disposition. Macau is right around the corner in terms of the opening of COTAI and the impact of having such a beautiful property that we think will be very successful, the impact that will have to the MGM China shareholders. We will continue to build the company for the long-term but continue to reward our shareholders throughout this journey, and we will do so in the ways that have articulated. And I think that that will increase the value of the enterprise significantly over time. And with that, I'd like say thank you very much for joining us today. We're excited about the back half of the year and into 2018 and beyond. And as always, we're ready to take any of your questions. So, please give us a call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.